Operator: Good morning, ladies and gentlemen, and welcome to the Methode Electronics Q3 Results [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Robert Cherry, Vice President of Investor Relations of Method Electronics. Sir, the floor is yours.
Robert Cherry: Thank you, operator. Good morning, and welcome to Methode Electronics Fiscal 2022 third quarter earnings conference call. For this call, we have prepared a presentation entitled Fiscal 2022 third quarter financial results, which can be viewed on the webcast of this call or found at methode.com on the Investors page. This conference call contains certain forward-looking statements, which reflect management's expectations regarding future events and operating performance and speak only as of the date hereof. These forward-looking statements are subject to the safe harbor protection provided under the securities laws. Methode undertakes no duty to update any forward-looking statements to conform the statement to actual results or changes in Methode's expectations on a quarterly basis or otherwise. The forward-looking statements in this conference call involve a number of risks and uncertainties. The factors that could cause actual results to differ materially from our expectations are detailed in Methode's filings with the Securities and Exchange Commission, such as our 10-K and 10-Q reports. At this time, I'd like to turn the call over to Mr. Don Duda, President and Chief Executive Officer.
Don Duda: Thank you, Rob, and good morning, everyone. Thank you for joining us for our fiscal 2022 third quarter earnings conference call. I'm joined today by Ron Tsoumas, our Chief Financial Officer. Both Ron and I will have opening comments, and then we will take your questions. Let's begin with the highlights on Slide 4. Our sales for the quarter were $292 million, helping our sales by $9 million, were successful premium freight to cost recovery efforts. However, our Automotive segment encountered demand headwinds in Europe due to the ongoing supply chain disruptions, particularly the semiconductor shortage, leading to various European auto OEM production slowdowns. In our Industrial segment, we saw strength across all our product categories, but particularly in power and lighting products. In particular, the segments saw growth in electric vehicle, busbars, commercial vehicle lighting and radio remote controls. These products continue to benefit from the macro growth trends and electrification, e commerce and automation. As such, our industrial sales again outgrew our automotive sales, a trend we expect to continue. As I mentioned, our team continue to face the ongoing supply chain challenges in the quarter. They have worked diligently to mitigate these challenges, which required remedial action such as expedited shipping, and premium component pricing. We have worked relentlessly with our customers to share in the absorption of these increased costs, particularly with the premium freight. In addition, we've taken the proactive steps to consolidate an operation into another existing facility in response to these logistical challenges. We are confident this action will help reduce some supply chain risk, improve customer service and ultimately drive margin expansion. Rob will provide more details on this restructuring later in the call. On the order front, with a very strong quarter with over $100 million of new program awards, of these new awards, approximately 70% were for EV application. And of the EV awards, a large majority were for power distribution products. I will provide more color on our new awards in a moment. Focusing on EV. Last quarter we reported that sales into EV applications were 16% of consolidated sales. This quarter EV sales grew to 19% of consolidated sales, a record for Methode. Given our year to date performance with EV sales, we now expect that percentage will be in the high teens for the full fiscal year, up from our previous mid-teen guidance. Our activity - our EV activity continues to be fueled by growth in power distribution, where we leverage over 40 years of expertise to supply power products to various EV OEMs. In the quarter, we further reduce debt and continue to return capital to our shareholders. While our debt was down to the lowest level since the Grakon acquisition, we did have an increase in net debt as we utilize a portion of our available cash to execute a $21 million share buyback in the quarter. We've now executed over $70 million of the $100 million stock buyback authorization since it was announced last March. Moving to Slide 5. Methode had a very strong quarter of business awards. The awards identified here represent some of the key business wins in the quarter, and represent over $100 million in annual sales at full production. As a reminder, the full launch timing of some these programs could be anywhere in the range of one to three years from now. As you can see, the list is dominated by EV programs, representing three quarters of the dollar value. And within those EV awards, power products were the main focus with several busbar programs, and a battery disconnect unit program. One of those busbar programs was a significant first win for method with a large established German automotive OEM. These EV awards, which are part of the skateboard of the electric vehicle, are expected to have a longer program life than traditional ICE [ph] programs, as the OEM will leverage their investment over multiple EV platforms, and model or Top Hat refreshes. In non-EV automotive, we were awarded programs for several user interface applications, including HVAC switch bars, overhead councils, and parking brake switches. We also won awards for motorsport headlamp and a micro DPU for a telecommunications company. Overall, it was a very successful quarter for new programs that will drive organic growth in future years. To conclude, it was a well executed quarter by a worldwide team. And despite some ongoing demand headwinds, and supply chain challenges, we are still expecting to deliver strong organic growth for fiscal 2022. Looking beyond this fiscal year, our award pipelines continues to be strong, as evidenced by this past quarter and puts Methode's on a path to deliver long-term results. At this point, I'll turn the call over to Ron, who will provide more detail on our third quarter financials. Ron?
Ron Tsoumas: Thank you, Don. And good morning, everyone. Please turn to slide 7. Third quarter net sales were $291.6 million in fiscal year '22 as compared to $295.3 million in fiscal year '21, a decrease of $3.7 million or 1.3%. The year-over-year comparison includes $8.6 million of premium freight cost recovery, partially offset by an unfavorable currency exchange impact on sales of $2 million. Excluding the premium fright cost recovery and the foreign currency impact, sales decreased by $10 million or 3.5%. The decrease in third quarter sales was mainly due to the lower automotive sales in Europe. This sales decrease was partially offset by higher sales of electric and hybrid vehicle products, which amounted to 19% of sales in the quarter, which is higher than our previous communication that electric and hybrid electric vehicles sales would comprise a mid teens percentage of our fiscal year '22 consolidated sales. We now expect electric and hybrid electric vehicles sales to represent the high teens of our full year fiscal '22 consolidated sales. In addition, stronger commercial vehicle and power product sales contributed to the industrial segment growth. Income from operations decreased by $5.6 million, mainly due to marginally lower gross margins, and marginally higher selling and administrative expenses. Third quarter net income decreased $2.5 million to $29.4 million or $0.78 per diluted share from $31.9 million or $0.83 per diluted share in the same period last year. Please turn to slide 8. Third quarter gross margins were lower in fiscal '22 as compared to fiscal year '21, due to lower sales volume, unfavorable product mix, higher restructuring costs, partially offset by premium freight cost recovery. Fiscal year '22 third quarter margins were 23.7% as compared to 24.6% in the third quarter of fiscal year '21. In addition, we do anticipate a degree of cost inflation in the remainder of this current fiscal year and into our fiscal year '23. Fiscal Year '22 third quarter selling and administrative expenses as a percentage of sales increased to 11.8% as compared to 11% in the fiscal year '21 third quarter. The minor fiscal year '22 third quarter percentage increase was mainly attributable to restructuring costs. This quarter selling, administrative expenses percentage was in line with our historical norm, which should yield an efficient flow through from gross margin to operating income. Please turn to Slide 9. Net income was negatively impacted from decreased sales, higher restructuring costs, unfavorable product mix and higher selling and administrative expenses, partially offset by premium freight cost recovery, higher other income and lower tax expense. In addition to the gross margin and SGA - selling and administrative items previously mentioned, one other non-operational items significantly impacted net income in the third quarter of fiscal year '22. As mentioned, other net income was up by $2 million, mainly due to success in securing higher amounts of international government assistance between the comparable quarters and lower foreign exchange losses from re-measurements. The effective tax rate in the third quarter of fiscal year '22 was 12.2% as compared to 12.6% in the third quarter of fiscal year '21. The fiscal year '22 full year estimate of between 16% and 17% includes the impact of the $2.2 million of discrete items recorded in the third quarter and is lower than a previous range of 17% to 18%. Shifting to EBITDA, a non-GAAP financial measure. Fiscal year '22 third quarter EBITDA was $47.9 million versus $51.3 million in the same period last year. EBITDA was negatively impacted by lower operating income, mainly due to increased restructuring costs and unfavorable product mix, partially offset by premium freight cost recoveries and higher other income. Please turn to Slide 10. In the third quarter of fiscal year '22, we reduced gross debt by $7.5 million and ended the quarter with $153.1 million in cash. During the first nine months of fiscal year '22, net debt, a non-GAAP financial measure increased by $55.6 million, mainly due to the share purchases of $63.9 million and unfavorable working capital changes, especially related to inventory which increased by nearly $45 million due to the supply chain related challenges. Regarding capital allocation, on March 31 2021, we announced a $100 million share repurchase program, which we have executed $21.3 million purchases during the third quarter of fiscal year '22. Since the authorizations approval, we have purchased $71.2 million worth of shares at an average price of $44.72. Please turn to Slide 11. Free cash flow, a non-GAAP financial measure is defined as net cash provided from operating activities minus CapEx. For the fiscal year '22 third quarter free cash flow was $11.8 million, as compared to $82.2 million in the third quarter of fiscal year '21. The decrease was mainly due to negative working capital changes, especially from inventory resulting from difficult logistics and accounts receivable, which had a significantly favorable impact in the third quarter of fiscal year '21 as compared to the third quarter of fiscal year '22. In addition, CapEx was $8.3 million in the current quarter as compared to $4.9 million in the third quarter of fiscal year '21. We do anticipate continuing a proven history of consistently generating reliable cash flows, which allow for ample funding of future organic growth, inorganic growth and return of capital to the shareholders. The higher CapEx is in line with our expectation that CapEx in fiscal year '22 would be higher than the investment in the prior fiscal year. We estimate fiscal year '22 CapEx now to be in the $35 million to $45 million range, which is lower than our prior guidance of $45 million to $50 million. The decrease is simply the result of timing of cash outflows of approved projects, as opposed to any concerted effort to slow or reduce the cadence of our capital investment. Investing for future organic growth and vertical integration remains a key priority from an capital allocation strategy perspective. We have a strong balance sheet and we'll utilize it by continuing investments in our businesses to grow them organically. In addition, we assertively continue to pursue opportunities for inorganic growth and measured return of capital to shareholders. Please turn to slide 12. Regarding guidance, it is based on management's best estimate, external events such as the headwinds from the ongoing negative impact from the chip shortage, logistic challenges and other related items can impact potentially our future results, and they - these headwinds remain an ongoing challenge. While we had experienced increased success in recouping some incurred costs, we expect these headwinds will likely be with us for the remaining three months of the current fiscal year. We increased our previously issued annual revenue guidance, mainly due to the revenue from cost recoveries, which are non-product sales. The revenue range for full fiscal year '22 is now between $1.16 billion and $1.17 billion, up from a range of $1.14 billion to $1.16 billion, largely due to the previously mentioned premium phrase corporate cost recoveries, which amounted to $8.6 million in the third quarter. The diluted earnings per share range has been tightened to $3.05 to $3.15 from the prior range of $3 to $3.20. The midpoint of our EPS guidance remains unchanged. Higher costs for material, freight and labor are a constant and dynamic battle. And we remain certain as to when things will fully stabilize. Don, that concludes my comments.
Don Duda: Thank you very much, Matt, we're ready to take questions.
Operator: Certainly. [Operator Instructions] Your first question is coming from Chris Howe from Barrington Research. Your line is live.
Chris Howe: Good morning, everyone.
Don Duda: Good morning.
Chris Howe: Thanks for taking the questions. Starting first off, two questions here. With the new business wins, you mentioned approximately 70% of the applications going to the EV market. Can you talk about these new business wins in a little bit greater detail as far as how you anticipate the potential or maturation of these new business wins, as we move further out into the future over the next several years. I would imagine that we're just at the kind of initial stages of this and the potential for additional EV application wins should only increase from here?
Don Duda: Yes, I would agree with that. You know, as I said, the EV awards, they'll get the full launch as short as a 12, 15 months from now. The major ones are at least 24 months out to maybe even 30 months till you get the full launch. Just because it launches doesn't mean you're running at the full rate. And they - run the usual launch cycle of our of our ICE [ph] awards, really nothing unusual there. And you right, of the potential, you know, as you launch these programs, you'll see that carry over on to other platforms. So, you know, maybe a $20 million annually might turn into 30, 35 as you go through the launch. So we do anticipate some of that occurring. A little more color. A lot of those are on the skateboard, which is exciting for us. It's hard to predict the length of the programs, you know, the contracts are four or five years, some of them even longer. But we're all in uncharted territory on how long the words will go, I think it will be like a transmission program where the our lead frame program is 10 years plus, I think we can anticipate that. So we like the skateboard awards because there's not as much refresh, it's going on there. And I would also say the majority of the awards, particularly the larger ones are with established OEMs, which would also like to see – with more competence in the volumes rather than nothing against the start ups we deal with, but it's a little easier to predict future revenues with it - with an established automaker.
Chris Howe: Perfect, very helpful. And next about the semiconductor situation semies [ph] we're still undergoing the situation, I think you think that it's going to go into fiscal year '23. As we think about that challenge, and perhaps also the challenges you're seeing in Europe, on a directional basis, how do you think that plays out in the first half of fiscal '23, and the second half of fiscal '23? When we kind of look at that versus how this past year is playing out.
Don Duda: If you take the approach that it takes about two years to add capacity, and that might be a little light on the two years. We're about a year into it, may be a little longer depending on what was happening before the shortage in terms of capacity addition by the suppliers. So maybe a conservative way of looking at it is, the duration of this calendar year, I think that's going to be an issue. Now it may - people have predicted that it'll start to get better in the second half, but we're kind of looking at it, this is a - until capacity has been added sufficiently, this is going to be - going to be with us. And that's really how we look at guidance. And that's certainly how we will look at our fiscal '23 as well.
Ron Tsoumas: Yeah, I would say that it's still buys a lot of uncertainty not only to us and securing components, so we can ship to our customers. But the OEMs that we serve, we're still dependent on how well they have navigated the search. So we expect that to continue. One thing we have done a better job and we spiked it out in success is, you know, recovering costs and getting into more of a cost sharing arrangement than we did in the first and second quarter of the year. So we're certainly navigating the negative impact of the as best we can. But - so obviously a lot of uncertainty on how it's going to impact our customers ultimately, and the demand for our product.
Chris Howe: Okay. Yeah, a lot of industrial companies are going with the second half thesis, but in my opinion, that just means it's not going to be like the first half. We'll see how the second half plays out. But as a follow up on some of your comments there. Q4, typically your strongest quarter, you know, Q3 is typically weaker. Any puts and takes there that you can see at this point with how that plays out in fiscal year '23. Or too early to tell and the typical seasonality of the business should run its course?
Don Duda: I agree, that generally our fourth quarter are strongest. But then it was well, Bob [ph] has mentioned here, the supply chain issues can impact that. And as far as we look forward, I think we're like everybody else, there's so much uncertainty, it's hard to - we can look at on paper as they are organically we're looking good. But you really have to see what starts to happen on the second half of the year. And we're - audit can be very tough. But one thing that generally it's fairly predictable, but in the past, really two years, running against that - that theory. So it's very hard to say, what June or July [indiscernible] I like to answer that, but it's just like anyone else, we don't know.
Chris Howe: Thanks for taking my call. I'll hop back in the queue to give others a chance. Thanks.
Operator: Thank you. Your next question is coming from John Franzreb from Sidoti & Company. Your line is live.
John Franzreb: Good morning, everyone. And thanks for taking the questions. I like to start with the industrial business, had a good quarter on a year-over-year basis and was up sequentially despite the seasonality of having the days off in the third quarter. What is January and February tell you about the recovery in the Class A truck market and how it's kind of looking for the balance of calendar 2022.
Don Duda: The way we look at the commercial vehicles, that's a definite tailwind for us as we go into the second half of the year or that's been - sales have been good. last mile vehicles, I think ACT has the numbers up. So we're very positive on that. And that certainly helped the third quarter no question about that. Now, to what degree, as I said to Chris, to what degree that's negatively affected by shortages, and so on, we'll have to see. But in general, we see that as a bright spot, looking forward.
Ron Tsoumas: No, no, that's - we follow the ACT, and everything is looking pretty good. And, you know, unless something happens, we would expect, you know, the fourth quarter to improve.
Don Duda: And one of the things that we talked about restructuring, we did logistics move out of Seattle, and the port congestion there and consolidated in our Mexican logistics center. So that'll take a while to sort through. But we did that to a one to certainly reduce inventory and some of the volatility of able to service our customers better, that we did to best [ph] step in the quarter.
Ron Tsoumas: And I would imagine go through the system, it'll be the first quarter of next year, we - first quarter of fiscal year before we see the results of that.
John Franzreb: Got it, got it. And just a little clarity on the free recovery costs. It seems like in the press release, it's a zero impact to profitability. But then when I was perusing the Q, it seemed like it did have an impact on the gross margin profile. Please help me understand how this mechanism is working, so I can get a better grasp of the whole concept here.
Don Duda: Sure, we – we're in a position now as compared to before, where before we do any premium freight, we either contract up to cost share, or in - we're getting the improvement from previously incurred costs. And that was what that $20 million was a recovery for costs in the third quarter that occurred in the first and second quarter when we were significantly negatively impacted by that. So we're going to continue to get straight up before we do things agree to cost sharing. So we don't have that negative impact. And we're going to continue to try to recover any previously premium freight or any other costs. For that matter, we're going to continue to do so. And the case of that success could happen in this quarter. It could happen in the first quarter of next year. But those are the mechanisms that we did. But we just thought it was pretty important to spike that out as, quote, non product sales. And, that we are starting to see some significant success. And you know, in the first two quarters, one was 240 basis points, $7 million, $8 million in each of the first two quarters. And in this quarter, it was negligible, right. So we're - we've made an impact, and that's how we should be, you know, kind of thinking about that on a go forward basis.
John Franzreb: Got it. That was helpful. And it gets one less question on the other income line. Are there two items there? Or is there one, is there a $2.2 million and $1.1 million? One's a grant and one's a COVID recovery number? How - what were those numbers? I mean, how should I think about actually that line going forward?
Don Duda: Yeah, so you know the other income line consists of any government assistance, that whether it's COVID related, or whether it's related to some other opportunity that we have to secure funds. And the other one is the foreign exchange from re-measurement and all of our financial assets and accounts payable accounts, all those financial assets. So those are the two main parts, but we keep all government assistance in that other income line.
John Franzreb: Are you still receiving government systems since the fourth quarter? Is that part of your guidance?
Don Duda: So in the fourth quarter, we will - we continue to try to secure all that - that's an always an ongoing thing for the company and any success in that has been contemplated in our guidance.
John Franzreb: Got it. All right. Thank you for taking my questions. Okay. I’ll get back into queue, guys. Thanks for taking the questions.
Don Duda: Thank you. 
Operator: Thank you. [Operator Instructions] Your next question is coming from Nick Stephen from Baird. Your line is live.
Nick Stephen: Hey, everyone. Thanks for taking my questions. So my first one is and so far that you updated 2022 guidance is also [indiscernible] 4Q guidance, and considering already a month into the quarter, could just walk us through the puts and takes assumed at the high end, low ends of the guidance range respectively and what do you see is the main swing factors for your fiscal 4Q?
Don Duda: So frankly so, you hit to the fact of 4Q guidance and some of the puts and takes are the recovery, the cadence and the amount of recovery in European auto as compared to the $60 million decrease we had in the third quarter, that’s from a product standpoint, and having a bit of you know, recovery in some of our sensor products and things of that nature. So the cadence and the amount of that would – we know the range the $10 million, right. So those are the main puts and takes that we contemplated from a product standpoint and getting to that tightened up range.
Nick Stephen: Perfect. Thanks.
Operator: Thank you. That concludes our Q&A session. I would now hand the conference back Don Duda, President and CEO of Methode Electronics for closing remarks. Please go ahead.
Don Duda: Matt, thank you very much. We'll thank everyone for listening today and enjoy the coming weekend. Thank you.